Operator: Ladies and gentlemen, thank you for standing by. Welcome to Allot's Fourth Quarter and Full-Year 2018 Results Conference Call. All participants are at present in a listen only mode. Following managements' formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded. You should have all received by now the company's press release. If you have not received it, please contact Allot's Investor Relations team at GK Investor and Public Relations at 1-646-688-3559 or view it in the News section of the company's Web site at www.allot.com. I would now like to hand over the call to Mr. Gavriel Frohwein of GK Investor Relations. Mr. Frohwein, would you like to begin, please?
Gavriel Frohwein: Thank you, operator. Welcome to Allot's Fourth Quarter and Full-Year 2018 Conference Call. I'd like to welcome all of you to the conference call and thank Allot's management for hosting this call. With us on the call today are Mr. Erez Antebi, President and CEO and Mr. Alberto Sessa, CFO. Erez will summarize the key highlights followed by Alberto, who will review Allot's financial performance of the quarter. We will then open the call for the question-and-answer session. Before we start, I'd like point out that this conference call may contain projections or forward-looking statements regarding future events or future performance of the company. These statements are only predictions and Allot cannot guarantee that they will, in fact, occur. Allot does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of changing market trends, reduced demand and the competitive nature of the security system industry, as well as other risks identified in the documents filed by the company with the Securities and Exchange Commission. And with that, I like to now hand over the call to Erez. Erez, please go ahead.
Erez Antebi: Thank you, Gavriel. I'd like to welcome all of you to our conference call, and thank you for joining us today. I would like to start with some key financial parameters for this quarter and full year 2018. The fourth quarter was another quarter of solid growth. Our revenues grew 16% year-over-year for the fourth quarter and 17% year-over-year for the whole of 2018. Our non-GAAP gross margins improved to 70% for the fourth quarter and 71% for the full-year 2018. Our operational loss in the fourth quarter 2018 was significantly improved over that in the fourth quarter of 2017. Our book-to-bill ratio was larger than one for the fourth quarter and for the full year 2018 as well. Our backlog increased during 2018 by approximately $13 million, bringing our 2018 year-end backlog to $69 million. I am very satisfied with the results we achieved in 2018, and I think the main message is that we are on track with our plan. We see a growing number of opportunities. We are continuing to win deals and grow our revenues. And we expect this trend to continue in 2019. While Alberto will provide more details on our financials later, I did want to start with our financial performance, because it shows that we are successfully continuing to execute on our plan. I would like to turn now to a discussion on our business, starting with the visibility and control domain. We are seeing an active market here with the growing pipeline of opportunities. Overall, we see similar use cases to what we saw in the previous quarters; smart traffic steering and optimization to effectively handle congestion and reduce connectivity costs; quality of experience where Communication Service Providers or CSPs can understand what the real user experience on their network is even on encrypted traffic, such as YouTube or Netflix; analytics to enable the CSPs to get significant detailed and actionable analytics on their network to properly plan network build and configuration; and regulatory compliance to allow governments to block malicious or illegal sites. In the fourth quarter, we won competitive bids for visibility and control systems for operators in all regions. EMEA, North America, Latin America and APAC, some were tier one operators. These ones are important for several reasons; we are expanding our customer base and we are entering new territories in which we were not present in the past; also, we show that we are successfully taking market share from the competition; and new wins with new operators provide a base for potential future revenue and expansions, renewals and services. The visibility and control domain grew nicely in 2018 and in fact, was the major source of revenue and bookings growth. This is good news as it enables us to continue growing even before the security domain comes into full effect. Our growth in this domain comes primarily from better sales and delivery execution by Allot. Looking forward, I see several areas where I believe the market is creating new opportunities for us in this domain in addition to the areas I noted we are already growing in. First, transition to NFV. As operators decide to transition their core networks from our clients base to NFV, there is a need for them to look at DPI as well. We expect many operators in the developed world to go through this transition over the next few years, and the change creates a destruction event, which is an opportunity for us. And second, 5G. Operators in the U.S. and Korea are pursuing a path to rollout 5G systems with European operators expected to follow later. 5G networks are in need of traffic management and analytics, and this too is an opportunity for Allot. We are currently participating in several bidding processes to deliver a VPI solution for 5G networks. I will note that while the outcome of these bids will not be known for a while, they show that a new market opportunity is occurring. Overall, we see a very healthy pipeline for visibility and control deals. We are continuing to capture market share from our power competition, and I believe the visibility and control domain will continue growing for Allot in 2019. Let's turn now to the security market, which we believe is our longer term main growth engine. As I mentioned in previous calls, we see a growing number of CSPs who see the value in providing secure broadband services at a premium and understand that this is a combination of three elements; one, an important enhancement to their brand value; two, a potentially very large new source of revenue; and three, a key element in their customer satisfaction. This interest is across the breadths of the Allot secure product family, and through be network secure, IoT secure, HomeSecure, DDoS and the combination with our partners endpoint secure. I would like to remind you all that Allot's ability to provide protection at several locations in the network. While seamlessly providing the same service across customer location and platforms is one of Allot's key advantages. I wish to note that we are participating in several opportunities that combine two or even three different products of the Allot secure family. This is a strong testament that our strategy of enabling operators with the capability to provide across anywhere, any device, any threat and protection to the consumer and SMB market is gaining acceptance with operators. Last week, we announced the deal with a tier one European operator with approximately 2.5 million subscribers. This operator plans to launch a security as a service offering to its residential and SMB customers, starting in the second quarter and is based on the Allot network secure product. This deal is a revenue share deal where Allot invest in setting-up the required hardware and software to enable the service, and where we will share in the monthly revenues that will be generated from customers who joined the service. While the service is an operator branded service to its customers, we will be working with the operator on their marketing plans to achieve together high penetration. During the fourth quarter, we announced an IoT secure deal with a tier 1 operator in the U.S. to protect enterprise IoT devices on the operator's network against infection and rogue IoT device activity. It is important to note that this solution is deployed in the operator's NFV core network. I am pleased to inform you that we recently signed a deal with an operator in EMEA to deploy our HomeSecure product to protect the operators' fixed line residential customers. While the deal itself is a CapEx deal, it is important as it will be our first deployment for the product we acquired in the Netonomy acquisition. In Vodafone, our largest security customer, penetration rates and the number of paying subscribers continues to grow. I am glad to let you know that Telefonica launched in December their service in Spain based on the Allot network secure product. Telefonica decided to launch a bundled service where they bundled speed, capacity and security together. While the initial reception has been positive and the number of subscribers is steadily growing, it is too early to analyze results and penetration rates. Telefonica plans to launch similar services, including security in Brazil, Argentina and Peru in the coming months. I remind you that both Vodafone and Telefonica deals were based on sales of perpetual licenses per subscriber. We are striving to change this model with future customers and are offering OpEx or recurring revenue based deals. While not all operators will accept this model, we are encouraged to see that more and more operators are open to such a model, and that this offering is meeting a positive response in most cases. Examples for this are the deals we signed with the tier 1 European operator announced recently with Telefonica Spain for the SMB market and with Swiftel to provide DDoS secure services. Deals like this contribute little to bookings and revenues in the short-term, so security bookings and revenues may appear not to grow enough. However, it is these type of deals that will ensure potential long-term revenue growth and success for the business overall. Our goal is to build a substantial base of CSPs with whom we have OpEx or revenue share security deals, and then work with them to grow the number of end customers subscribing to the security service, thereby generating a significant amount of recurring revenues. We are engaged at various stages with quite a few additional operators for more security deals on all the elements of the Allot secure family, and I am very encouraged by the size of our pipeline and the interest within the CSPs to launch such security services for the mass-market. Looking at the initial security office deals we signed, the gross intenders and RFPs that were issued and the healthy pipeline we have in hand. I'm confident that we are heading in the right direction and I'm very optimistic about this market segment, and our future growth in it. As you know, working with CSPs takes time with sales cycles typically exceeding 12 months. So it still takes a bit longer that we would like to close these deals. To help us measure the potential of the aggregated security OpEx deals we signed and our progress in this area, I would like to introduce a metric we use internally that we call Maximum Annual Revenues, or MAR for short. This number reflects the annual revenue Allot will receive should a 100% of the CSP's relevant customer base sign-up for the security service. Of course, we do not expect a 100% of the operators customers to sign-up for the security service, so the actual revenues Allot will get are expected to be the MAR multiplied by whatever the penetrations will be. In Vodafone case, penetration rates of the service after three years vary from 15% up to 50%, depending on the go-to-market strategy and the emphasis put on the service. To clarify by way of a hypothetical example. Assume we signed a deal with a hypothetical mobile operator that has 5 million post paid customers and we target the security service for all post paid customers. Assume further that based on the agreement with the operator, Allot expects to receive half a dollar per subscriber per month. The MAR of this hypothetical opportunity will be 5 million times half a dollar times 12 equals $30 million. If we reach in any given year an average penetration of 20% of the subscriber base, the actual revenues for Allot in that year will be 20% times $30 million equal $6 million. While we will not report on this metric every quarter, we will provide yearly guidance on what is the total MAR we expect to sign for the year and starting end of 2019 where we will report on what we achieve. I would now like to summarize the overall picture and the key messages. We are proceeding according to plan and growing the business. Much of our growth is a result of the significant changes we made during the past couple of years in our execution capabilities, which included management changes, restructuring sales and customer success and to CFU or Customer Facing Units, revise processes and the move in R&D to agile methodology and automated testing. Our products are improving in both functionally and quality as evidenced by winning a growing number of deals and deploying NFV products in the fields. In the visibility and control area, we are growing in absolute terms and our market share is growing as we win over the competition. We also see longer-term opportunities as operators move to NFV and as 5G networks are deployed. Based on the pipeline, I expect growth to continue in 2019. In the security area, which we see is our major long-term growth engine. We have signed initial deals for all Allot's secure products, including several security OpEx deals. Our pipeline of security OpEx deals is very encouraging it is expanding and most operators are accepting of the OpEx or revenue share model we offer. I expect we will sign additional security OpEx deals throughout 2019. From a product perspective, we are progressing well and achieving advantages over our competition, such as an in NFV capability. We are also investing more in artificial intelligence and machine learning technologies to create further technological differentiation and build visibility and control and security domains. Based on our results so far and on the growing and strong pipeline of new deals, we expect 2019 revenues to be between $106 million and $110 million with the second half of the year higher than the first half. We expect book-to-bill for the full-year 2019 to be about one. Using the MAR metric I described earlier, our goal is to sign security OpEx deals with an aggregate MAR of $100 million during 2019. I feel that Allot can further accelerate growth if we acquire the right company and we are now strong enough to do this successfully. Therefore, we will explore opportunities to acquire companies with technology or market reach in support of our strategy, while taking care to maintain a strong cash position on our balance sheet to enable us to sign deals with large CSPs. And now, I would like to hand the call over to Alberto Sessa, our CFO. Alberto, please go ahead.
Alberto Sessa: Thank you very much, Erez. Before I begin reviewing the financial results for this quarter and for the year, I would like to inform everyone that on this call, unless otherwise noted, I will refer entirely to the non-GAAP financial measure when discussing operational results, which is what we use internally to adjust the performance of our business. Non-GAAP financial measure defer in certain respect from the Generally Accepted Accounting Principles and exclude share-based compensation expenses, revenue adjustments due to acquisitions, restructuring expenses, expenses related to M&A activity, amortization of certain intangible assets, change in tax related items and changes in deferred tax. Now with regard to the financial results. Revenue for the fourth quarter of 2018 were $26.9 million, growing by 16% compared with those of the fourth quarter of 2017. Revenue for 2018 were $95.8 million, growing 17% compared to 2017. Our backlog increased during 2018 by approximately $13 million, bringing our 2018 year-end backlog to $69 million. Since we expect to recognize between 70% to 80% of our backlog as revenue in 2019, this provide us good visibility into 2019 revenues. I would like to give you now some details regarding the revenue breakdown and diversification. The geographic breakdown of revenues for the fourth quarter of 2018 was as follows; Americas with $5.5 million or 21% of revenues; EMEA with $15.4 million or 57% of revenues; and Asia-Pacific with $6 million or 22% of revenue. The geographic breakdown of revenues for 2018 was as follows; America with $14.4 million or 15% of revenue; EMEA with $59.5 million or 62% of revenue; and Asia-Pacific with $21.9 million or 23% of revenues. Product revenues for the quarter accounted to $16.6 million compared to $13.3 million in the fourth quarter of 2017; professional and services revenue were $1.6 million compared to $1.1 million in the fourth quarter 2017; support and maintenance revenue $8.7 million compared to $8.8 million in the fourth quarter of 2017. For the full-year 2018, products revenue accounted $56.2 million compared to $48.9 million in 2017; professional services revenues were $6.3 million as compared to $4 million in 2017; support and maintenance revenue were $33.3 million compared to $29.2 million in 2017. Communication Service Provider or CSP revenues were 81% in the fourth quarter of 2018, compared to 80% as reported in the fourth quarter 2017. For the full-year 2018, CSP revenues accounted for $76.2 million or 80% of total revenue compared to $65.5 million or 80% of total revenue in 2017. Security revenue in 2018 were $24.5 million compared to $24.2 million in 2017. Revenue from security remains flat year-over-year due primarily to the late launch of service in Telefonica. The security OpEx deal with Telefonica Spain for SMB and Swiftel, as Erez mentioned, take time ramp-up and therefore, contribute little to 2018 revenues. I note that revenue breakdown, whether geographical or by product segments or other, may fluctuate from quarter-to-quarter depending on the specific revenue and deals to recognize in the specific quarter. We continue to diversify our customer base. And our top 10 end customers made up 53% of our revenues in 2018 compared with the concentration of 57% in 2017. Book-to-bill ratio in the fourth quarter of 2018 and for the full-year of 2018 was above 1. Gross margin for the quarter was 70.3% compared to 68.4% in the fourth quarter of 2017. Gross margin for 2018 increased to 70.7% compared to 68% in 2017. Operating expenses for the quarter were $19 million compared to $17.1 million as reported in the fourth quarter of 2017. For the total year 2018, operating expenses were $72.6 million compared to $64.4 million in 2017. The total number of full-time employees as of December 31, 2018 were 524. Non-GAAP operating loss for the quarter was reduced to $99,000, compared with an operating loss of $1.3 million in the fourth quarter of 2017. Net loss for the quarter improved to $455,000 or $0.01 per share versus $1.5 million loss or $0.04 per share in the fourth quarter of 2017. Net loss for 2018 improved to $5.1 million or $0.15 per share versus $8.7 million or $0.26 per share in 2017. Turning to the balance sheet, our cash reserve comprised of cash, cash equivalent and investments as of December 31, 2018 were $103.9 million compared to $104.7 million at the end of last quarter, and $110 million in December 31, 2017. For the three months ended December 31, 2018, the number of basic share was 33.9 million and the number of fully diluted share for the same period was 35.4 million.  In terms of guidance, as Erez mentioned, we are expecting revenue to grow to between $106 million and $110 million in 2019, representing continued year-over-year revenue growth. We also expect book-to-bill ratio for the year to be above 1. Going forward, on a quarterly basis, we will update on our expectations for the yearly book-to-bill ratio but we will not give the specific quarterly ratio. We will continue to provide at the end of each year the backlog for the year. We expect gross margin for 2019 to be approximately 70%. However, it is important to understand that we expect gross margin on a quarterly base to fluctuate even significantly as a result of recognition of certain hardware incentive deals we already have in our backlog. As we continue to invest in sales and marketing and R&D to facilitate the growth in the company, we expect 2019 operating expenses to be in the range of $79 million to $81 million. In the security domain, our goal is to sign security OpEx deals with an aggregate MAR of $100 million during 2019. We will update quarterly on our expectations to reach this target. However, we will only report on the MAR achievements on a yearly basis. This concludes my remarks. We will be happy to take your questions now. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question and answer session [Operator Instructions]. The first question is from Georgia Iwanyc of Oppenheimer & Co. Please go ahead.
Georgia Iwanyc: Erez, can you give us may be a little bit more color about how you feel the year will progress. I know you expect the second half to be stronger than the first. Is it a linear progression and a big uptick at the end or could there be some lumpiness as the deal flow flows through the year?
Erez Antebi: I don't know. I would expect it to work to grow basically, and that's why we said second half stronger than the first half. But based on individual deals and the timing of recognizing the revenue, and the exact timing of when the deals come in and so on, it could lumpy. But I don’t have to say more than that.
Georgia Iwanyc: And can you give us a sense of how many tier one new carriers are out there that you're working on, how many are second tier and third tier that are past followers in this market?
Erez Antebi: I don’t have a number off the top of my head. But I would say that we were actively engaged probably with at least 10 or 15 tier one operators -- new ones that we're talking to. But I don’t have an exact number off the top of my head.
Georgia Iwanyc: And shifting a little bit. You mentioned M&A is something that you could be looking at right now. What type of technologies or companies do you feel would be a good fit? And are you looking at primarily technology tuck-in or are you looking at companies that maybe could provide some market share at the same time?
Erez Antebi: I think that there are several criterias here we are looking as. We will be looking at our technology tuck-ins similar to what we've done with Netonomy, which is an excellent example. We expanded the Allot secure platform and by acquiring Netonomy, we allowed ourselves or we gave ourselves access to a security product for the home router market and in general to improve our securities capability for fixed broadband networks. So we will be looking at other companies that can help augment as increase the type of security offerings that we are able to enable operators to take to the mass-market. And we may also look for companies that have provide us a faster time to market in specific markets that we want to grow in, such as the United States, for example. However, I will repeat again that we are very conscious of our balance sheet and the amount of cash in our balance sheet. And it's important for us to maintain a strong cash position on the balance sheet, because we are selling to tier one operators, and it's important for us to be able to show them that we have a strong balance sheet and the process of making that sale and closing the deal.
Alberto Sessa: So we intend to keep it that way as well.
Georgia Iwanyc: And just a couple of final questions for you, Alberto. When you look at the full year guidance that you gave for OpEx? Can you give us a sense of where you expect the bulk of the increase is to come from, or is it balanced against or across R&D and the sales and marketing? Or will it be heavier in one of the other areas?
Alberto Sessa: As I said, our guidelines for 2019 are that operating expenses will grow up to $79 million to $81 million. We want to continue to invest in those area, which continue to our growth. Mainly as we mentioned product wise, we will increase our investment in R&D. Sales and marketing in those areas in which we believe that we can increase our inflation in that market and customer success in order to be sure to deliver all the deals that we are able to achieve.
Georgia Iwanyc: And my last question on the gross margin. Can you just tell us how mix impacts the guidance if you have a heavier security if you hit the MAR number? How does that change your full-year gross margin outlook?
Alberto Sessa: So first of all, it's difficult to say at that point. But the assumption right now is that the gross margin for security deal will be very similar to that of the PIs. So a change in mix at this point in time would not impact significantly our gross margin. And for 2019 with the new guidelines, our gross margins will approximately 70%.
Erez Antebi: I will add perhaps to what Alberto said and emphasize again what we said. While we sign these security OpEx deals, it takes some time to ramp-up. Even a deal we sign today it will hopefully be launched quickly that is say in the summer. And then customers will start ramping-up throughout the second half of the year. So security OpEx deals that we signed in 2019 will not have or at least expected to have a very significant impact on the revenues and bookings for 2019. It will have a much more, so I expect them to have a much more significant impact in 2020 and beyond of course.
Operator: The next question is from Alex Henderson of Needham and Company. Please go ahead.
Roger Boyd: This is Roger Boyd on for Alex Henderson. I know you mentioned you're continuing to take share in the DPI space. Can you have any more color on environment there, or what you're seeing in terms of channel dynamics?
Erez Antebi: In terms of -- I can't hear your last few words…
Roger Boyd: In terms of channel dynamics within the DPI space?
Erez Antebi: If I look at the DPI market, in general, I would say that we're seeing the large network equipment provider, such as Ericsson, Huawei, Samsung and companies like that that are providing core networks. They also have a DPI component in their -- as part of their offering. They typically when they can, they bundle that with the rest of the core network product that they provide to operators. And I would say as a very, very broad sentence, I would say that operators that are willing to suffice with a more simplistic and less capable type of DPI product will intend to buy from the mix of bundled products. Those operators that see the value in having a higher end and more sophisticated and higher capability DPI product will typically buy from either Allot or our direct competition, which today quite honestly is primarily Sandvine. Now I think that what we're seeing is that we're seeing companies that are either do not have DPI and are looking to add that, we have several instances where operators have been working with our DPI for years and are now looking to add that capability to their portfolio. So they look at what their options are. And we see operators that have run with a certain platform for a number of years, and are either not so content with maybe the product they've brought, the service they have or even for corporate governance reason need to go and issue a bid -- a new bid to check what's out in the market after number of years. And then we have -- then they in either of these cases, they will put out some kind of RFP or RFI, something to look at the opportunity and that creates an opportunity for us. I'm glad to say that we are winning many deals and they were doing this above our market share, and that’s the reason for us to grow in this market.
Roger Boyd: And then a quick housekeeping item. Do you have the tax rate in mind we should be using for '19?
Erez Antebi: Can you repeat your question?
Roger Boyd: I'm wondering if you have a tax rate in mind that we should be using for model in 2019.
Erez Antebi: I think that from a cost point of view, I think that modeling in 2019. You should use the 2018 figure and then factor it according to the increase in revenue, that's the way that I would do that.
Operator: The next question is from Jeff Bernstein of Cowen. Please go ahead.
Jeff Bernstein: You mentioned the opportunity in NFV, and congratulations on winning your first deal there. Any thoughts about how many vendors a carrier might have? I think there is a second source some of the hardware-based DPI type equipment. But in an NFV situation, is it going to be only one vendor? And also how standardized do you think these implications are going to be, or is there going to be learning that have to get done inside of each guys' NFV environment?
Erez Antebi: The big promise of NFV at least if you ask to the people who invented it and are pushing it hard is that an operator can have a uniform hardware platform. Many, many servers that are exactly identical and look the same and so on and then bring in software from multiple vendors, whether it's different vendor for as packet core different vendor for DPI, different vendor for security, a different vendor for DDoS whatever. And there is the central orchestrator that orchestrates this whole thing and brings all the software together and make sure that each piece of software regardless from which vendor it comes can work together and it gets the resources it needs at any particular time. So the big promise of NFV that the operator will be able to bring in software solution from multiple vendors not from one. And will be able to change out a solution if he doesn't like it from the vendor A to vendor B relatively easily, because there's no hardware change and everything should be running on the same machine. So the promise is actually and the direction for operators is to have multiple vendors, and have best-of-breed for each and every function. Now, that's with CRE and that's where the technology is supposed to take us. As was I think with a similar other major technology changes to getting there will be a little bit more complicated. It's not entirely standardized. For example you have two main NFV systems. One is based on VMware. One is based on Open Stack. They are not the same. They're even different versions between these various alternatives. I think there are multiple different orchestrators out there in the market today. And to the best of my knowledge, there is no clear market leader in orchestration yet. So I see many operators talking about or still considering which orchestrator they want to use. And so there may be a phase where there will be less than smaller number of vendors or software vendors participating in the NFV implementation of a specific operator. And there definitely will be integration issues, compatibility issues and so on. And I expect that it's going to be a learning curve as these networks get rolled out, software packages will become more -- not just more integrated, but will have more standardized interface that everything around it will converge to a more standardized interface operating system. And so this will take some time.
Jeff Bernstein: So it sounds like there is a significant competitive advantage to being an early mover here and making this stuff work in the real world for carriers. And if your competitor is a year or two or several behind, it's going to be much more difficult for them to then come in?
Erez Antebi: Yes, there's definitely a competitive advantage to being early in the market with this, and we are I think early in the market with this.
Operator: The next question is from Marc Silk of Silk Investment. Please go ahead.
Marc Silk: So it seems like some of your DPI customers are potential security customers and vice versa. So could you enlighten us about maybe your cross selling strategy and opportunities?
Erez Antebi: Yes, many of the -- can buy either or both, and look it's -- even though it's and I'll rephrase it a bit, even though it's the same operator, the buying persona within the operator is different. When we sell DPI solution to an operator, we will typically sell it to the network engineering department and the CTO, the guys who are responsible for the network itself. When we sell a security solution, the value of that security solution is enhancing the brand of the operator to becoming a secure provider of services, bringing in new reps and things like that. So the buying persona typically is more is a CMO, the marketing guys, the value added service guy, the guys who own the P&L. So it's different buying personas within the same operator. However, there is no doubt that if we are already in an operator and we're engaged with part of the organization, say we sold in the DPI system and we're engaged with the network guys, it is easier for us to get them to introduce us through the marketing people and start selling the value of security. And we also have a good reputation in that customer, they are using us, they trust us, the network guys are comfortable with us. So it's easier for us to sell into these customers. Same thing in reverse where if we are -- if we sell into a customer, our security system and the network guys already accept our software and sometimes appliance to put in line into their system, it is then an up-sell opportunity to go through them and say okay, we're already inside the system, here you take another software package and other license and you have additional capabilities from the DPI side. So yes, it's definitely on security, but it's very important for me to note that there are clear examples where we don't have both. So we, for example even in Telefonica. Telefonica has DPI from Sandvine and we're providing network security. So it gives us an opportunity, it's an opportunity that we tried hard to leverage on, but it's not a necessity to have both.
Marc Silk: I appreciate that insight. And so I agree with you. It is important to have a healthy balance sheet when you go into each telcos. And I'm just encouraged by your continued success. So, good luck going forward.
Operator: We have a follow-up question from Jeff Bernstein. Please go ahead.
Jeff Bernstein: You talked about being involved in some bidding opportunities on 5G. And can you just flush out a little bit more of what the requirements are [Technical Difficulty] that people are look at for 5G networks?
Erez Antebi: Well, fundamentally it's very similar to what they're looking at 4G network. They want to understand whether the applications they're running in the network, we're talking about DPI. So they want to understand what the applications are running on the network, how much bandwidth from whom, which customers et cetera. And to the extent they can, they want to be able to exert some control on it to handle congestion better, to eliminate perhaps to somebody who reached that individual's program max to limit perhaps the speed of access and things like that, that are typical for DPI implementation. Now, in 5G it's the same but it's actually even enhanced. Because what happens in 5G is that the 5G philosophy of the network is that the operator will be able to provide end-to-end services and control the quality of delivery of each and every service from end-to-end throughout the whole network. In that sense it's very unlike 3G or 4G network where in a 3G or 4G network if you have any certain site that is congested, a certain cell tower, all the applications of software. They all get slowed down. In a 5G network, at least in CRE, we'll see how this rolls out as really about 5G networks and that's what we deploy. But the way their design is that you will -- the operator will decide, for example, on a certain quality that he wants to deliver, voice traffic and the certain quality that he wants to deliver usual traffic just to name a few mundane examples. And that will be the service level that will be guaranteed in the network from anywhere from the endpoint, to the radio, to the co-ordinate, to transport, the core network, the whole thing, and to control everything in the network to enable that quality of experience to be maintained throughout. Now if DPI going to have to be part of what will enable that, and this means same functionality but some technological adaptations to working in the 5G network, such as we'll have to package our software in what is called micro services, we'll have to have a tighter integration into the packet core that the operators are providing, so same functionality, a slightly different implementation, better integration with the other vendors.
Jeff Bernstein: And then lastly on the security side, it looks like in the U.S. the cable companies are using a company called Cujo or a couple of them at least. It seems to be more of a local U.S. type company closely related to the cable industry or whatever. Do you see other small guys out there as competition or what is a competitive front look like?
Erez Antebi: On the whole router security side, I would say that we're seeing really two competitors. To us, one is Cujo that you mentioned and the other one is MacAfee. So when some dealers were co-operating with MacAfee where we were combining our network security with their endpoint and another dealers we're competing with them where they provide their home router security software and we provide ours.
Operator: [Operator Instructions] There are no further questions, at this time. Mr. Antebi, would you like to make your concluding statements?
Erez Antebi: Yes, I'd just like to thank everybody on behalf of myself and the management of Allot. Thank you for your interest and your support of our business. And I look forward to talking to you in the next quarter. Thank you very much.
Operator: This concludes the Allot fourth quarter 2018 results conference call. Thank you for your participation. You may go ahead and disconnect.